Operator: Greetings, and welcome to the Ark Restaurants Fourth Quarter and Full Year 2015 Conference Call. [Operator Instructions] As a reminder, this conference is being recorded.
 It is now my pleasure to introduce your host, Bob Stewart, President and Chief Financial Officer for Ark Restaurants. Please go ahead, sir. 
Robert Stewart: Okay, thank you, operator. Good morning, and thank you for joining us on our conference call for the fourth fiscal quarter and full year ended October 3, 2015. With me on the call today is Michael Weinstein, our Chairman and CEO; and Vinny Pascal, our Chief Operating Officer.
 For those of you who have not yet obtained a copy of our press release that was issued over the newswire last Wednesday and is available on our website, to review the full text of that press release, along with the associated financial tables, please go to our homepage at www.arkrestaurants.com.
 Before we begin, however, I'd like to read the Safe Harbor statement. I need to remind everyone that part of our discussion this afternoon will include forward-looking statements and that these statements are not guarantees of future performance and, therefore, undue reliance should not be placed on them. We refer everyone to our filings with the Securities and Exchange Commission for a more detailed discussion of the risks that may have a direct bearing on our operating results, performance and financial condition.
 I will now turn the call over to Michael. 
Michael Weinstein: Hi, everybody. We had a strong and interesting quarter. I think in previous conference calls, I've indicated the amount of construction going on in our lives. The construction in Las Vegas at New York, New York hotel seems to be winding down, and there is better access to our spaces. Sales for the quarter were up 6.9% on the same quarter last year. New York was very strong, we're up 7.7%; Washington, D.C. was strong, 6.7%; Atlantic City, we're up 17%; Boston, up 8%; Connecticut, we're about flat, down about a point; and Florida, we were up 6.2%. So from a sales perspective, it was a very strong quarter. From productivity of EBITDA, it was similarly a strong quarter.
 The one number that stands out if you look at our P&L is the after-tax earnings. For the quarter, we had a catch-up in terms of our tax rate. We used an estimated tax rate for the first 3 quarters. It turned out to be lower than the calculation should have been, so we had a catch-up. And the fourth quarter tax rate is exaggerated to make up for the under-accruing of taxes in the first 3 quarters.
 We have acquired -- first of all, we had very good results from our acquisition of Rustic Inn in Fort Lauderdale. This was the first full year of operations. Sales were in excess of $15 million. Profits were extremely strong. We own that property. Our Jupiter Rustic, which was in operation for a portion of the year, as we said in our last conference call, we haven't seen a season yet. We're just about to go [indiscernible] season in Florida. There's a wide divergence between sales during the winter months in Florida and the summer months in Florida at these locations. We're just started to see a pickup in Rustic, still think we will have a profitable year this coming year. Although, losses for the first year, including preopening expenses, were around $1 million. We think that will be reversed.
 The good news is that Clyde's is finally operating at a positive cash flow, so we're in pretty good shape here.
 We acquired Shuckers, a restaurant in Jensen Beach, late in the quarter. Those numbers are not really reflecting in these numbers, but we're very hopeful that we made a good acquisition there. We also own that property, as opposed to leasing it. The Southwest Porch, which we opened up in Bryant Park where we have 2 restaurants, has been unusually successful. We've been blessed by some good weather. That was operating just a portion of the fourth quarter. Its results in this December quarter have been startling good, so we think we're in good shape there.
 Some comments about Meadowlands: We continue to be hopeful that there'll be legislation passed and we'll get on the ballot this coming November for a casino license at Meadowlands Racetrack. Legislation has been introduced by both the assembly in New Jersey and by the senate in New Jersey. However, those 2 bills that were introduced have not yet been compromised. If they do not do it in the current session, we are hopeful that they will do it in the next session. And if they do so in the next session, it is likely that, that will be on the ballot in November.
 So now we'll open up for questions. 
Operator: [Operator Instructions] Our first question today is coming from Michael Kucera [ph], a private investor. 
Unknown Attendee: I have 2 questions. The first one is, in the quarter ending October 3, 2015, there was a $737,000 increase in other operating costs and expenses, and I'm wondering if we could have a little bit more explanation of -- for the large increase. And the second question has to do with the impact of the weather on the current quarter ending in January. I presume it's had a less negative impact than last year. Could you comment on that also? 
Michael Weinstein: Yes. We've been doing this so long. We don't -- in terms of the weather, we -- there have been quarters where we just notice that the weather has been horrible. And obviously, it's been very favorable in the Northeast for outdoor seating, but the truth of the matter is our biggest area of outdoor seating is Bryant Park where we have some 500 seats outside, but those seats close October 15. And the reason they close is that the ice-skating rink comes into Bryant Park, and a Christmas festival and shops come in, and we're just not allowed to operate during that period of time when those 2 enterprises are going on. So to the extent that there's warm weather, on a comparable basis, we have no comps for Southwest Porch, which just opened, but it's certainly been helpful there because we're only outside of Southwest Porch. It's a completely open restaurant. There is no enclosure. And it does encourage people to go out when it's nicer, as opposed to when it's freezing or rainy, so yes, it certainly has a bump but not the bump that you would expect because most of our outdoor cafe seats, once they close on October 15, we don't reopen them until the spring. Bob will address the operating costs. 
Robert Stewart: Yes. I understand when looking at the quarter, it looks unusually large, as far as the increase, but when we look at these operating costs, these other operating costs, there -- a significant number of the costs go into that category. And we look at it more on a yearly basis. The last quarter, we had some large payments that were made on sort of normal recurring expenses, but when you look at the year, the -- as a percentage of revenue, that other operating costs and expenses is in line with our normal costs. So it was just some of the -- some larger items where the expenses were incurred in the last quarter rather than the previous quarter. So there's nothing unusual. 
Michael Weinstein: Yes. It's a timing issue, to a certain degree, as when we pay some of these operating expenses. 
Operator: [Operator Instructions] If there are no further questions, I'll turn the floor back over to management for any further or closing comments. 
Michael Weinstein: We have some challenges coming up in this current year. The good news is the loss of leases which we could not renegotiate or because of repurposing of buildings where a restaurant was no longer a category that the landlord wanted, those are well behind us. We have only one lease left that is subject to a termination, and that's the Center Café in Union Station in Washington, D.C. As I briefly mentioned, Las Vegas has been under construction at New York, New York. We suspect that all of that construction will be complete by April. And the entrances that have been blocked that service our restaurants, that has been lifted, but there's still construction. And once all the construction gets done, we expect to see some favorable results. We have been under construction at both of our restaurants at Union Station. They're redoing the ceilings, moving scaffolding around. For instance, right now, our entrance to Thunder Grill is completely blocked. There's a side entrance where people are detoured to get into the restaurant. We have had construction road work in Florida in front of our new Jupiter property that will go on another year, but that's been hampering some traffic into the restaurant.
 It's just been difficult in those locations to get people into the restaurants on -- at certain hours. We think that's all lifting and will benefit in the current -- coming year. 
 We have some minimum wage increase issues that we think we're handling appropriately. We don't think that'll have a major impact on us but might have a slight impact on our EBITDA. ObamaCare, we feel that we've handled that appropriately, and that will not have any impact on us.
 If we look at the year going forward, we expect EBITDA to be stronger for the coming year. And we are always on the search for new acquisitions or new developments to expand our sales.
 And that's basically it. Have a happy new year. We look forward to speaking to you in the following quarter. 
Operator: Thank you. That does conclude today's teleconference. You may disconnect your lines at this time, and have a wonderful day. We thank you for your participation today.